Operator: Good day, and thank you for standing by. Welcome to the C3is Q4 2025 Financial and Operating Results Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Dr. Diamantis Andriotis. Please go ahead.
Diamantis Andriotis: Good morning, everyone, and welcome to the C3is Fourth Quarter of 2025 Earnings Conference Call and Webcast. This is Dr. Diamantis Andriotis, CEO of the company. Joining me on the call today is our CFO, Nina Pyndiah. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance and are based on current expectations and assumptions, which by nature are inherently uncertain and outside of the company's control. At this stage, if you could all take a moment to read our disclaimer on Slide 2 of this presentation. I would like to point out that all amounts quoted, unless otherwise clarified, are implicitly stated in U.S. dollars. We have today released our earnings results for the fourth quarter of 2025. So let's proceed to discuss these results and update you on the company's strategy and the market in general. Please turn to Slide 3, where we summarize and highlight the company's performances, starting with our financial highlights. For the first 12 months of 2025, we achieved a net income of $10.5 million compared to a net loss of $3 million for the same period 2024, an increase of 481%. Our voyage revenues decreased by 18% compared to the same period in 2024, mainly due to the dry docking of our Aframax tanker, which resulted in a loss in revenue from our highest earning vessel over a period of 28 days for the dry docking, combined with 46 idle days, a total of 74 days. Our TCE rates was also impacted with a drop of 28% for the year. In April 2025, we settled the final outstanding balance of $15 million that was due on the Eco Spitfire. We reported an EBITDA of $17 million compared to $7 million for 2024, an increase of 244%. On Slide 4, we look at the dry bulk market for the year 2025. We entered 2025 in a very different phase of the cycle from the sharp post-pandemic rebound. After 3 years of strong shrinks in volumes, seaborne growth downshifted to a slower but still positive pace. Despite global economic fluctuations, the market demonstrated the resilience, particularly in the second half of the year. Iron ore and coal trade continue to have the lion's share in dry bulk trade, but iron ore remains the anchor of the dry bulk complex. The iron ore market is currently navigating transitional phase with shifting dynamics influenced by economic trends, structural changes and environmental pressures. Despite subdued demand, iron ore production remains robust with major miners maintaining or increasing output levels. Australia and Brazil continue to dominate export supply, yet Brazil is regaining share as weather disruptions ease and incremental capacity is brought back. In addition, the Simandou project in Guinea, which is the world's largest higher-grade greenfield integrated mine and infrastructure development, introduced a significantly new long-haul leg from West Africa to China. The project commenced operations in late 2025 and set substantially structured global shipping, driving up freight rates due to increased tonne-mile demand. With reserves exceeding 2 billion tonnes, Simandou represents one of the world's richest undeveloped iron ore deposits. This project is forecasted to mark a structural turning point in both commodity markets and seaborne logistics. Coal is on a different trajectory compared to iron ore. Aggregate coal shipments were slightly lower in 2025 and forecast to add down further in 2026. Structural decarbonization policies, expanding renewable generation and improving domestic coal supply in key consumer regions are gradually capping import requirements. From a shipping perspective, coal is no longer a reliable engine of growth. Grain and oilseed trades provide a more positive narrative. Food demand is relatively inelastic, but the way it is applied is highly sensitive to weather and policy. Crop yields and export availability in the Americas, the Black Sea and Australia, together with import demand in North Africa and Middle East and Asia continue to reshape routes and lift tonne miles. The partial normalization of Black Sea exports has added flexibility back into the system, yet frequent weather-related disruptions and policy interventions on export corridors keep trade pattern fluid and support longer-haul substitutions when specific origin underperform. Minor bulk stand out as the main growth engine. Taken together, this heterogeneous basket, including bauxite, nickel and manganese ore, cement, steel products fertilizers and a range of industrial minerals grew by around 4% in 2025 and a further 3% increase is expected in 2026. The net result is a dry bulk market where although growth in tonnes is modest and gradually slowing, but growth in tonne miles remains robust, thanks to the lengthening of trade routes and the rising weight of minor bulks. Total dry bulk cargo volumes are expected to increase by less than 1% in 2026, yet seaborne demand measured in transport works should expand by around 2% annually. This asymmetry is crucial for freight. It means that even in the world of subdued headline trade growth, the underlying demand for ship days can still outpace the increasing fleet capacity. On Slide 5, we move to the specific market of part of our fleet, the Handysize category and the fleet age and growth. The market outlook shows that for the period January, December 2025, global experts of all dry bulk commodities loaded on handy super tonnage reached 1,798 million tonnes according to the AXSMarine vessel-tracking data. This is an increase of 2% year-over-year. 15% of exports loaded were coal with grains falling at 13% and steel at 9%. On the Handysize fleet age, the small Handy fleet is pretty old with plenty of demolition potential. The global Handysize fleet now stands at 3,202 vessels, of which 38% is over 15 years of age. The average age of the C3is Handy fleet was 14.9 years at the end of December 2025. At year-end 2025, the global Handy fleet has increased by 3% in investment numbers compared to year-end 2024. The order book stands at 189 vessels from the start of 2026 with deliveries expected to be 111 for the year. Slide 6 shows the Aframax/LR2 spot rates and age. As of the end year, the Aframax sector has exhibited significant improvements across major trading routes. Notably, the Caribbean-U.S. Gulf route experienced the highest percentage increase in spot rates, soaring by 88.7% to reach day rates of $66,426, followed by the Med-Med routes with an 85.3% increase to $65,808, and the North Sea-Cont route showing a 65.8% rise to $71,022. Conversely, the MEG-Singapore route displayed a more moderate growth of 15.8%, with rates at $47,167. Comparing these figures against the year-to-date and 5-year averages, current rates generally surpass the 2025 averages, indicating a robust year for 2026. Aframax market showed the regional differences at year-end 2025. The Atlantic short-haul root strengthened and tighter availability supported sentiment, particularly in the U.S. Gulf, while European benchmarks were steadier. Pacific routes remained under pressure amidst ongoing weakness in export activity. On the fleet age, the global Aframax fleet now stands at 1,198 ships. Of these, 293 vessels are over 20 years of age, accounting for 25% of the total number of vessels. The highest number of vessels is in the 15 to 20 years category, in which our Aframax tanker falls with an age of 15.4 years at December 31, 2025. Slide 7 summarizes how the tanker market goes into 2026 on strong footing against the complex geopolitical backdrop, rising production and fleet growth. Iran, stricter sanctions enforcement, potentially triggered by Washington imposing tariffs on Iran's trading partners with shift in volumes from shadow fleet to mainstream vessels. Chinese refiners, who purchase all of Iran's 1.6 million to 1.8 million barrels per day of crude exports, could be forced to seek alternatives from other Middle Eastern producers. Alternatively, a regime change could eventually see production rise towards above 4 million barrel per day given the upstream investment the National Iranian Company understood to have made over the past few years. Russia, sanctions on Russian crude and refined products have redirected flows away from traditional short-haul routes creating longer voyages and tightening oil and vessel supply. Changing trading patterns, most notably increased imports to China and India from the Middle East and the Atlantic basin instead of Russia have resulted in vessels covering much longer distances, pushing tonne-mile demand to record highs. Venezuela, the U.S. military intervention in Venezuela thrusted the heavy crude sector into a period of enforced transparency. The immediate fallout was characterized by a significant departure bottleneck rather than a collapse in demand. China's appetite for Venezuelan grades remains intact and the ability to physically move barrels has hit the logistical world. As the U.S. government moves to market between 30 million and 50 million barrels of seized Venezuelan oil through authorized channels, the trade is poised for a massive structural reconfiguration. For Aframaxes, this transition from dark to transparent trade creates a premium on compliant tonnage that can beat the heavy crude gap. Most Venezuelan crude delivered to the U.S. has historically been transported on Aframax/LR2 vessels. The potential incremental demand depends on export volume from Venezuela, but at 1 million barrels per day of Venezuelan crude going to U.S., demand has been estimated for approximately 23 additional Aframax/LR2 vessels. Currently, the Aframax/LR2 flows from the U.S. to Europe has almost doubled. India, the 2026 EU-India free trade agreement will significantly boost oil and refined product shipping by removing tariffs, lowering trade barriers and fostering infrastructure investments. Key impacts include increased tanker demand for EU-India routes, enhanced logistical cooperation and maritime services, promoting shipping partnerships and reducing logistical hurdles. India is also expanding its import footprint, further strengthening tonne-mile demand and sustaining high utilization rates across the fleet. China, most of China's imports arrive via seaborne trade, reinforcing the critical role of tankers in global energy logistics. China stands out as a major driving force with over 1 million barrels per day of new refinery capacity added since 2020 and a further of 1.3 million to 1.5 million barrels per day set to come online before the end of the decade. Canada, the Canadian government's push to diversify the country's crude oil customer base in response to belligerent overtures from President Donald Trump led to a surge in the country's seaborne oil exports in 2025. As Canada decoupled from the U.S. economy, Aframaxes were the main beneficiary as exports to China alone have grown from 0 to 12.3 million tonnes in just 2 years. Saudi Arabia, Saudi Arabia, Iraq, Kuwait have increased supplies to India in December 2025. Middle Eastern producers, Saudi Arabia, Iraq and Kuwait, will raise crude oil supplies to India from December as Indian refiners seek alternatives to Russian barrels. The rise in Middle Eastern crude demand comes as many Indian refiners paused purchases from Russia due to tightening of Western sanctions, enabling OPEC producers to regain the market share in the world's third largest oil consumer and importer. Slide 8 shows the product tanker market in which 2 acquisitions due to be delivered in 2026 belong to. Refined product tanker tonne-mile demand has experienced significant growth, driven by shift in global trade patterns, particularly following the restructuring of European energy imports away from Russia. The surge is largely attributed to longer average voyage businesses with European imports of refined products switching to more distant suppliers like Middle East and U.S. Change in sanctions regimes and new refining capacities in Asia and Middle East have also boosted tonne-mile demand as oil and product shipments travel longer distances. Cash flows for product tankers remain quite healthy, and this trend is expected to continue well in 2026. The product tanker fleet order book has rebounded sharply from the historic lows witnessed over 2020-2021. Global tanker order book to existing fleet above 20 years ratio has climbed from under 5% to roughly 18% in 2025 and set to climb to 30% by 2028. This indicates renewed confidence from owners. Several factors drive this trend, including major shifts in trade flows, an aging global fleet and the strong appeal of modern tonnage equipped for future regulatory compliance. Slide 9 shows the fleet of C3is. C3is currently owns and operates a fleet of 3 Handysize dry bulk carriers and 1 Aframax oil tanker. As previously announced, the company has acquired 2 product tankers due to be delivered between Q1 and Q3 2026. With these additions, the fleet will increase its capacity to 311,000 deadweight, an increase of 387% from inception. All vessels have had their ballast water management systems already installed. All the vessels are unencumbered and currently employed on short- to medium-term period charters and spot voyages. None of the vessels were Chinese-built, hence not affected by the ongoing threat of tariffs. Slide 10 shows a sample of the international charters with whom the management company has developed strategic relationships and had experienced repeat business. Repeat business highlights the confidence our customers have for our operations and satisfaction of the services we provide. The key to maintaining our relationships with these companies are high standards of safety and reliability of service. I will now turn over the call to Nina Pyndiah for our financial performance.
Nina Pyndiah: Thank you, Diamantis, and good morning to everyone. Please turn to Slide 11, and I will go through our financial performance for the 12 months of 2025. We reported voyage revenues of $34.8 million for the year '25 compared to $42 million in '24, a reduction of 18%, primarily due to the dry docking of our Aframax tanker, which resulted in 28 nonrevenue days combined with 46 idle days, a total of 74 days. The time chart equivalent rates of our vessels were also impacted with a decrease of 28% compared to year '24. Voyage costs for '25 were $12.8 million compared to $14.1 million in '24. This decrease was attributed to the decrease in voyage days due to the dry docking of the Aframax tanker. Voyage costs for '25 of $12.8 million, mainly included bunker costs of $6.4 million, corresponding to 50% of total voyage expenses and port expenses of $4.9 million, corresponding to 38% of total voyage expenses. Operating expenses for the 12 months of 2025 were $9.2 million and mainly included crew expenses of $4.7 million, corresponding to 50% of total operating expenses, spares and consumable cost of $2 million, and maintenance expenses of $1.2 million, representing works and repairs on the vessels. Dry docking costs for the Afrapearl II were $1.9 million. General and admin costs for the 12 months ended December 31, '25 and '24 were $2.4 million and $3 million, respectively. The $600,000 decrease was due to additional expenses incurred in '24 relating to the 2 public offerings. Depreciation for the 12 months ended 31st of December '25, was $6.5 million a $300,000 increase from $6.2 million for the same period of last year due to the increase in the average number of our vessels. Interest and finance cost for the year '25 and '24 was $400,000 and $2.5 million, respectively. The $2.1 million decrease is related to the accrued interest expense related partly in connection with $53.3 million, part of the acquisition prices of our Aframax tanker, the Afrapearl II, which was completely repaid in July '24 and our bulk carrier, the Eco Spitfire, which was completely repaid in '25. Although no interest was charged on these acquisitions, for accounting purposes, these balances should be shown as accrued interest. The total paid did not change. Gain on warrants for the 12 months ended December 31, '25 was $9.2 million as compared with a loss on warrants of $11.1 million for the 12 months ended December 31, 2024, and mainly related to the net fair value changes on our warrants. For the 12 months of '25, the company reported a net income of $10.5 million and an EBITDA of $17 million, increases of 481% and 244%, respectively. Turning to Slide 12 for the balance sheet. We had a cash balance of $14.9 million compared to $12.6 million at the end of '24, an increase of 19% in spite of the full payment of the 90% purchase price of the Eco Spitfire in Q2 '25 that amounted to $15.1 million. Other current assets mainly include charterers receivables of $4.3 million compared to $2.8 million at December '24 as well as inventories of $1.3 million compared to $900,000 at December '24. The vessels to net value of $78 million are for the 4 vessels less depreciation. The vessels market values were $75 million in January '26. Trade accounts payables of $1.8 million are balances due to suppliers and brokers, payable to related party of $382,000 represents the balance due to the management company, Brave Maritime. Our related party financial liability was $16.3 million at year-end '24, and consisted mainly of the balance that was due on the Eco Spitfire, and that was eventually paid in Q2 '25. Concluding the presentation on Slide 13, we outlined the key variables that will assist us progress with our company's growth. Owning a high-quality fleet reduces operating costs, improves safety and provides a competitive advantage in securing favorable charters. We maintain the quality of the vessels by carrying out regular inspections, both while imports and at sea, and adopting a comprehensive maintenance program for each vessel. None of our vessels were built from Chinese shipyards, hence the ongoing tariff threats by the U.S. to China will be of no consequence to our fleet. The company's strategy is to follow a disciplined growth with in-depth technical and condition assessment review. Equity issuances will continue as management is continuously seeking a timely and selective acquisitions of quality non-Chinese built vessels with current focus on short- to medium-term charters and spot voyages. Following on with this strategy, the company has added 2 product tankers to the fleet, and these will be delivered by Q3 '26. We always charter to high-quality charterers, such as commodity traders, industrial companies and oil producers and refineries. Despite having increased our fleet by 387%. since inception, the company has no bank debt. No interest was charged by the affiliated sellers on the purchase prices of the Afrapearl II, the Eco Spitfire and the 2 product tankers due to be delivered in '26. From July '23 to date, we have repaid all of our CapEx obligations totaling $59.2 million without resorting to any back loans. At this stage, our CEO, Dr. Diamantis Andriotis, will summarize the concluding remarks for the period examined.
Diamantis Andriotis: For the 12 months of 2025, we reported a net income of $10.5 million, an increase of 481% from '24. An EBITDA of $17 million, an increase of 244%. And a cash balance of $14.9 million, despite paying off the remaining balance of $15.1 million that was due on Eco Spitfire. In August 2025, we successfully completed the dry docking of our Aframax tanker, the Afrapearl II. We are fully delevered, thus significantly enhancing our financial flexibility. Politics and climate changes are continued sources of volatility, but elevated freight rates, resilient oil demand and shifting trade patterns continue to underpin the bullish outlook. Global seaborne trades are projected to edge higher again, driven by population growth, geopolitics, sanctions and steady biofuel demand, all signs denoting another firm year for 2026. We have announced the acquisition of 2 product tankers that will join our fleet in 2026. This will increase our fleet capacity by 387% from inception, thus allowing us to fully harvest on the strong and positive fundamentals expected in 2026. We would like to thank you for joining us today and look forward to having you with us again at our next call for the results of the first quarter of 2026.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.